Operator: Good day ladies and gentlemen and welcome to the Synnex first quarter 2008 earnings conference call. (Operator Instructions). As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Ms. Laura Crowley, Director of Investor Relations. You may begin your conference.
Laura Crowley: Thank you, Adrian. Good afternoon everyone and thank you for joining Synnex Corporation’s fiscal 2008 first quarter earnings conference call. Joining us on today’s call are Bob Huang, President and CEO, Dennis Polk, Chief Operating Officer and Thomas Alsborg, Chief Financial Officer. Before we begin I would like to note that the statements on today’s call, which are not historical facts, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward looking statements include but are not limited to statements regarding our acquisition of New Age Electronics, seasonality, growth of our consumer electronics division, expectations of our revenues, gross margins, SG&A, net income, earnings per share and return on invested capital, impact of the general economy on our business, our growth and profitability and future benefits of our recent and planned acquisitions. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those discussed in these forward-looking statements. Please refer to today’s press release and the documents filed with the Securities & Exchange Commission specifically our most recent Form 10-K for information on risk factors that could cause actual results to differ materially from those discussed in these forward-looking statements. Additionally this conference call is the property of Synnex Corporation and may not be recorded or rebroadcast without specific written permission from the company. Now I would like to turn the call over to Thomas Alsborg for an update on our financial performance. Thomas?
Thomas C. Alsborg: Thank you, Laura. Good afternoon everyone and thank you for joining our call today. I am going to begin by summarizing our results of operation for the quarter. Revenues for the first quarter of 2008 were $1.75 billion a 10% increase over the first quarter of 2007 and a 11% increase sequentially from a seasonally high fourth quarter. These revenue results are within our stated guidance and inline analysis consensus for the quarter. The sequential decrease is reflected of the seasonality associated with our business in which case the first quarter revenue is historically lower than our prior fourth quarter. First quarter net income was $16.8 million or $0.51 per diluted share at the end of our stated guidance and above analysis consensus. These results were driven by our continued operating margin expansion. In the first quarter of fiscal 2008 our gross margin expanded to reach 5.48% representing an increase of approximately 79 basis points compared to the same quarter prior year and an increase of 13 basis points sequentially from Q4 of fiscal 2007. This expansion is primarily driven by the impact of our strategic acquisitions in 2007. For the gross margin roll (ph) and now that we have puts and takes associated with normal business changes and cycles we remain committed to our business services model improving all drivers of the gross margin and realizing efficiencies across our business. First quarter 2008 selling, general and administrative expense was $63.1 million or 3.61% of revenues compared to $49.5 million or 3.12% in the first quarter of fiscal 2007 and $68.6 million or 3.48% in Q4 fiscal 2007. The increase in expense as a percentage of revenue was primarily attributable to the cost of supporting our growing operations for our higher margin growth business and reflects the impact of seasonally lower revenue levels in Q1 compared to the last quarter. Income from operations was $32.8 million or 1.87% of revenues for the first quarter of 2008 compared to results of $24.9 million or 1.57% of revenues in the prior year and $36.9 million or 1.87% of revenues in the fiscal fourth quarter of 2007. Our current level of operating margins in excess of 1.8% is an achievement that we are very proud of. Coming to our net interest expense and finance charges, the total for the first quarter of 2008 was $4.2 million or $1.1 million increase from the prior year quarter of $3.1 million as a result of financing the growth of our company. Other expense of $2 million is mostly made of costs associated with unrealized losses in our deferred compensation, which are offset to SG&A thus having no bottom line impact. In addition other expense also includes about $630,000 for a non-recurring charge to write down the cost associated with certain investments of the company. This $630,000 charge was one time in nature and did flow through to the bottom line of the P&L thus reducing our reported EPS by $0.01. The effective tax rate for the first quarter of fiscal 2008 was 35.9%. Now, I would like to review our balance sheet information and metrics. Accounts receivable totaled $678.6 million at February 29, 2008. DSO including the accounts receivable from our off balance sheet program and vendor program AR was 46 days. Inventory totaled $625.1 million at the end of the quarter translating to 35 days in the inventory supply. Days payable outstanding was 35 days so our net cash conversion cycle was 46 days. Our DSO and days of inventory supply for the first quarter are naturally pressured upwards as a result of seasonally -- as a result of revenue that seasonally contracts in the first quarter. Other first quarter data and metrics of now are as follows: depreciation expense was $2.6 million, amortization expense was $1.8 million, capital expenditures were $33.9 million that is $3.9 million, cash flow from operations was approximately $73 million for the quarter. From a distribution product line standpoint peripherals accounted for 31% to 35% of our sales, systems components accounted for 15% to 19%, IT systems accounted for 29% to 33%, software accounted for 11% to 15% and networking accounted for 4% to 8% of total distribution revenues. HP at approximately 27% sales was the only vendor accounting for more than 10% of sales during the first quarter of 2008. Our total associates are 6,344 at February 29, 2008 compared to 6,616 at November 30, 2007 this consists of 5,872 permanent employees and 472 temporary personnel. The reduction in headcount was due to our cost and alignment of costs with our revenue. As we have shared with you in previous calls we are always focused on finding areas to improve our productivity and at the same time reduced our cost and expenses. Moving to our second quarter 2008 expectations; for Q2 2008 we expect revenues will be in the range of $1.715 billion to $1.785 billion inline with our seasonality trends and reflective of our conservative approach with respect to the current state of the economy. Net income is expected to be in the range of $16.6 million to $17.2 million and diluted earnings per share is anticipated to be in the range of $0.50 to $0.52 per share. Our forecasted diluted earnings per share figures are based on an estimated weighted average diluted share count of approximately $33.2 million shares, essentially we anticipate a flat to moderating revenue growth in the short term, however net income and EPS are expected to grow. Once again, this reflects our commitments to focus on value creation and growth within earnings and ROIC even in a soft revenue environment. We’ve remain committed to our stated goal of 15% EPS growth and 10% ROIC in Q4 2008. As a reminder all these statements are forward-looking and actual results may differ materially, also please note well, we are in the midst of closing the New Age acquisition, it is premature to include any acquired business in our guidance and so after the proposed acquisition takes place, we will provide additional guidance once the acquisition of New Age Electronics have closed, the acquisition is anticipated to close within the next several weeks. Now, I would turn the call over to our CEO, Bob Huang for his perspective on the business and quarterly results.
Robert T. Huang: Okay, thank you Thomas. Good afternoon to everyone and thank you for joining our call today. We have already performance for this fiscal first quarter of 2008 is consistent with our commitment to deliver on our profitability goals even in the midst of the sound economic uncertainty. Again, I would like to thank our dedicated employees for their relatedness hard work and commitment. I also wanted to thank our customers and suppliers for their continued regencies and support. Through the completion of our first quarter 2008, Synnex now achieved our 83rd consecutive quarter of profitability. As Thomas noted the change in our strategies over last two years ago to target a more profitable business and our 2007 acquisitions are key contributors to our profit margin and profit expansion. I am pleased to note that our analysis for the last quarter was a 7.8% compared to 6.8% in the first quarter of 2007. Low growth is moderate in some sectors, we believe the impact of the economic times on our overall IT demand and our premium result was not as significant as what have been delivered to in the market place, particular in comparison to the tech bust in 2000. We noticed some slowdown in the second half of last quarter with SMB through shipments to the smarter retailers. However, we also experienced a healthy momentum through our solution providers and system integrators who has served enterprise, healthcare and public sectors. On the strategic acquisitions we made last year, let me emphasis again. I am pleased with our result on expanding our business process services that can truly serve our vendors and customers through the entire life cycle of their products from demand generation to supply chain management, to assembly distribution and after market technical support. And I am excited about our acquisition of HiChina with the services to 100,000 small businesses, customers throughout China provide a predictable service revenue stream in a high growth market. Our GPE gross profit to expense ratio was 1.52% in the first quarter, a 2 basis point improvement year-over-year and above our benchmark of 1.5%. Also reflective of our profitable growth with a priority focused on going operating income and returns rather than just top line. Now, let me comment on our Q2 guidance and 2008 goals. At the mid point of our Q2 guidance we are projecting a 4% increase in sales and a certain percent increase in our earnings per share. These projected growth rate in (indiscernible) remains moderate and we are cautious in our approach in light of the current economic environment. It is important to remember that the market for North America IT spent is very large and contains significant opportunities for growth and expansion for Synnex not only organically but through adjacent market. We had a good success in growing our TSP business since we had launched two years ago, we have been very happy with our new entrance to adjusted market in consumer electronics or and of life products and even the newly entered BPO market. Given our small size relative to the large size of the market our efficient infrastructures and our duty we are optimistic about our overall performance and confident we can continue to grow faster than the market. In late February, we announced our intention to acquire substantially all the assets of New Age Electronics, a leading US distributor of IT and consumer electronics products. We believe the position of New Age is another glory important -- strategically important investment. The New Age acquisition will significantly expand our US supplies and consumer electronics offering, it will extend our reach to the retail channels. Once the acquisition of New Age is complete, both our consumer electronics business and our supplies business will reach over a period dollars in revenue. It also most importantly the transaction will provide profitable potential that is anticipated to raise our previous EPS target from a 15% growth to the range of 20% to 30% per year. This will accelerate our goal of achieving $100 million in net profit in a double digit ROIC by 2010. In closing, it was a great quarter even in the soft market, with our strategy and our ability to execute and we are already optimistic about 2008. Thank you again for your time today and your continued interest and investments in Synnex. Laura, let’s now turn the call back to the operator for questions.
Laura Crowley: Thank you, Bob. Andrea let’s go ahead and open up the line for questions.
Operator: (Operator Instructions). The first question is from Ananda Baruah from Banc of America.
Ananda Baruah - Banc of America: Hi, guys, thanks for taking the questions. I guess, the first one is around revenue growth and sort of you could talk about what the softness that you alluded to or spoke about on the call second half of the quarter, really what it was around and how incremental was it towards you are seeing before I guess, you know, your guidance in place like Bob said 4% year-over-year growth, but, I guess by our calculate five years was it lower than that on organic basis which kind of put you in between, what your key major competitors in the US is spoken about recently. So, could you just talk about some of the dynamics that you saw during the quarter and where do you think the market really is in terms of growth in US right now?
Robert T. Huang: All right, Ananda this is Bob. I mentioned earlier it’s softer in the second half of the quarter, and we haven’t seen it’s picking up yet, and that’s reflect in our forecast, in our guidance. The reason being anything specific in at, you know, particular sector I think this is to some degree I mentioned earlier or more on the SMB and also there is substitutes (inaudible) as well. I think we just need to be cautious in this particular quarter.
Ananda Baruah - Banc of America: And you reaffirm your 15% EPS growth target for 2008, can you give us a sense of does that imply, does that imbed normal seasonality for the second half of the year and I guess, so the question is you know, you need to see growth better in the second half of the year than you are guiding to for the second quarter to be able to hit that EPS target?
Robert T. Huang: That’s correct. If you look at what we did at last quarter and we’ve got in for this quarter, the 15% is you know, is another uneasy task, I mist say in this environment, even the seasonality particularly with the reasons we have in the retailers side, which is very strong in the fourth quarter, I think, these numbers the 15% is more durable for us.
Ananda Baruah - Banc of America: Okay, and then just one last one if I could. I just wanted to confirm the comments that you made about New Age a moment ago, I don’t know if that is an intention to give guidance, it sounded like you were saying, once you get New Age kind of integrated already you think you can, it actually be quite a creative to your 2008 EPS and I just wanted a clarification around this comment?
Robert T. Huang: Yeah, we don’t buy businesses that we dealt, you know, looking at our potentials and that’s from my perspective I felt, this issue is potential down there, we could not give you the official guidance yet, because we have not got the business yet, we know we are dealing that all things for the immigration, but as soon as like Thomas said, we complete the transaction then well give you an update on that.
Ananda Baruah - Banc of America: Okay, and then just, just if you got to into your back to the EPS growth cost, so is the take away that as the environment is not improved from this point forward and you see sort of muted seasonality and low single digit, year-over-year revenue growth will kind of for the balance of the year, then your 50%, your EPS growth would then be in jeopardy. Is that sort of the correct take away?
Robert T. Huang: I wouldn’t go that far, you know, if you remember there is meaning ways you could, you know brand the bottom line, like the top line is one and the growth margin improvement is another and then you also (inaudible) expenses you know its more on under your control you could, you could do all things to improve your productivities and reduce your expenses. So, there are many things you could do and that’s what I mentioned earlier because all infrastructure, because all our organization and all our bury (ph) agile cultures, I think we could cope with environment lot of faster than probably most to the companies. And you could see that in our history, I mean, that’s we didn’t come to this 83 conceptive profits we dealt have this type of corporate cultures embedded.
Thomas C. Alsborg: This is Tom and if I could add to Bob’s comments for the reasons he just described, the way I would characterize it for you to say that -- first of all every time we meet with you, we revise and review our forecast and so based on everything we see today including relatively flat Q2 given modest and I would say modest that is to say some reduced seasonality at the end of this year compared to normal given everything we've seen. We still feel confident about growing our EPS in 2008 to be over 115% of 2007 EPS.
Ananda Baruah - Banc of America: Okay. Thomas, could you remind us what your operating margin expansion goals are?
Thomas C. Alsborg: Sure. First of all, again I want to highlight the fact, we are quite proud of the fact that we have achieved operating margin this quarter of 1.87, which is the same margin we had last quarter. So, to be at above 1.8 operating margin sustainable is something we feel good about and one of the comments I shared with you in our January 10th, earnings release call was that, as we looked out into 2008, we saw operating margin expansion growing in that for the year as a whole, we saw operating margins in this range. I compared the operating margins of Q4 to that what we would see for a whole year of 2008 and we still feel comfortable in that range.
Ananda Baruah - Banc of America: Okay. Thank you very much.
Thomas C. Alsborg: Good.
Operator: Your next question is from Matthew Einhorn (ph) from Thomas Wiesel.
Matthew Einhorn - Thomas Wiesel: Hi, guys. How is it going? This is actually Aaron Barman filling in for Matt. I just have a quick question just following up on what you are talking about or you guys mentioned as far as you know, just relative to softness out there, have you seen any sort of incremental like competitiveness across the industry maybe on pricing or anything else?
Robert T. Huang: Aaron, in 27 years in this business and never seen any single days another competitive. But, I can tell you as business is getting tougher, there is a sort an ease some particular larger deal tends to be more pricey than the small transactions and that’s the decision we have to make, right? We have to make an either wide file the type of top line revenues so we should walk away with that and that’s an oldest decision.
Matthew Einhorn - Thomas Wiesel: Okay. But, if you look at just over the past you know, over the past quarter I mean have you seen any sort of -- have you seen the pressing environment deteriorate more so than it has been especially given the weaker environment?
Robert T. Huang: No, I wouldn’t say there is any noticeably different from previous quarters Aaron, in that regard.
Matthew Einhorn - Thomas Wiesel: Okay. And just one quick question. I know you mentioned, end market as far as like SMB and what you are seeing is in that market but if you could may be give me some color on if you are seeing any sort of softness in -- with regard to any of your products segments in profile systems networking anything like that or is it -- its just pretty mush across the board?
Robert T. Huang: It’s pretty much across the board. I mean in terms of products accepted, we certainly get benefit substantially when our vendors do very well and you could see that HP has done very well. So, we did very well on that, but other than that it is pretty much now across the board.
Matthew Einhorn - Thomas Wiesel: Okay, and just one quick question on New Age. They were approximately $900 million in revenue, so would you expect to see significant attrition there given, you guys already have a decent presence in consumer electronics?
Robert T. Huang: Thomas, you want to -- may comment on this, because he is asking more.
Thomas C. Alsborg: Sure, yes they question was on New Age and our go forward expectations on the revenue. Once again, we haven’t closer transaction so Mr. Novak’s comment not guidance necessarily, but New Age their revenue base is very complimentary to our revenue base, so we do expect to keep substantial portion of the revenue as many other customers. The larger customers are not customers who are doing business with today and some other products that are products that we not sell today. So, we do expect to keep a good portion of the business, that being said, just like we’ve talked about the past few years. We’re going to keep the profitable business of the organization and any unprofitable business we will walk away from.
Matthew Einhorn - Thomas Wiesel: Okay, thank you.
Operator: The next question is Bryan Alexander from Raymond James.
Bryan Alexander – Raymond James: Thanks. Good afternoon. Just wanted to go back to the comments Bob made on New Age, just to make sure I understand, you have been talking about EPS growth of 15% consistently for the last two and Bob mentioned, with the inclusion of New Age, you should be on track to grow 20% to 30% per year. So, I just want to confirm, A) he was referring to this year but that also if this acquisition is enclosing in total middle of the year how could it have just a dramatic impact on growth for this year?
Thomas C. Alsborg: That the good point, Bryan I though you did, you really taken off for vacation, I think of point Bryan, when I say 20% to 30% the range I am referring in the first 12 months.
Bryan Alexander – Raymond James: 12 months post closed.
Thomas C. Alsborg: After completion, that’s correct.
Bryan Alexander – Raymond James: Okay. So that implies then we are looking for it earnings accretion of somewhere around $0.10 to $0.30 in the first 12 months, which is consistent with what we've thinking but why such a wide range, what would cause it to be at the lower end or higher end of that range?
Robert T. Huang: Because of the one brand, we have not closed yet, two, the market is a bit more uncertain in what normally we would -- we have seen so, we just want to make sure that. But, in either case, it's a 20%, 25% it's 30% it's all you know, accretive first of all…
Bryan Alexander – Raymond James: Sure.
Robert T. Huang: And you know, to the -- for the sizable accretive for what would take for. So, you know, I think it -- that’s what we have been very excited about this deal and that’s what I think you know, we want to get into this and see what we could do.
Bryan Alexander – Raymond James: Okay. And then, Thomas on BPO initiatives is there anyway to quantify how much of an impact those two applications are having, the ones that you did last year HiChina to support, what impact are they having on gross and operating margins, and how much of the 15% earnings growth is coming from those businesses specifically?
Thomas C. Alsborg: Brian, when these acquisitions are large enough of the BPO placed break amount with certainly will, right now what I would tell you is that certainly, as we've talked about in the past the margin profiles of this BPO business are substantially higher. We have gross margins in the 20% to 50% range and on SG&A that’s also equally high, so our operating margins pretend to focus tend to be in a low double-digit. Having said that, we also know that these are relatively small in size and so whether is an upward impact to our operating margins into our EPS, it is rather nominal at this time. What I would point you to is that here we -- what I referred to in to my prepared remarks about our acquisitions having a positive impact on margin and then in particular gross margin, I was not only talking about BPO acquisitions, but also our distribution acquisition such as RGC for example and these acquisitions are also having a very good impact. PCW had a positive impact on our margins and then on top of that, the underlying business as I have shared in the past continues to execute very well and so the expansion that we are seeing in our margins is both on the distribution side of the business and aided by the BPO and then within the distribution side, whether it's acquisition or it's a core business they are both having good positive growth.
Bryan Alexander – Raymond James: Okay. And then just a final question on the working capital, on receivables and inventory, I am not sure I understand the explanation of the increase in those metrics, I think you referenced seasonality in the prepared remarks, but if I just look at Q1 DSOs and inventory there it looks like this is the highest level they have been in quite some time, so just hoping you can expand on that? Thanks.
Dennis Polk: Sure Brian, this is Dennis. So, I will jump in and Thomas can fill any blanks as well. First of all, as we always remind folks, this is the point in time metric, the real important aspect of these two metrics are the quality and all we getting paid for that they were holding be at accounts receivable and inventory, and the answer is to both those questions are any of the quality is still very high, we are very pleased by the quality of our portfolio and accounts receivable and inventory and be -- we are getting paid for the day’s that we are carrying as evident in our higher operating margin that we produced and showed today. That being said, and I also like to mention that the DSO specifically is higher because there has been a bit of mix change in our portfolio a bit of more business that has longer collection cycle days, well again that’s been paid for through how financed the business, how we gone to market with our customers and also we've moved away from some of our slowing business that we talked about in the past and that shift the days out as well.
Thomas C. Alsborg: The only thing I would add to that Brian is again Dennis mentioned in the quality, a lot of this is really just a timing when this pausing in the quarter and as it turns out you know, we have some large receivables and some large inventory purchases towards the end of the quarter, having said that I would just want to emphasize to you that our aging is fine and you would also noticed in the timing that our payables you know, inventory or somewhat offsetting because of the acquisitions took place in a very remaining weeks of the quarter.
Brian Alexander- Raymond James: Okay, I guess that was the source of my confusion because it sounds like the quarter got a little bit softer toward the end, which would naturally lead one to believe that the inventory balances would be shrinking in that growing and the receivables may not be at as high as they are but we can discuss offline. Thank you.
Operator: (Operator Instructions). Your next question is from Rich Kugele from Needham & Company.
Richard Kugele - Needham & Company: Thank you, just two quick questions. First, just to understand the New Age is to little bit better especially given the consumer presence can you just talk about how their results have been likely you know, even if it's just qualitatively and then I will follow-up?
Thomas C. Alsborg: This is Thomas, Rich. As you probably know, first of all New Age is not a publicly traded company in so there information is not publicly available you could go on to the website to see some information but certainly because this transaction hasn’t closed it would be I think inappropriate for us to speak on there behalf.
Richard Kugele - Needham & Company: Okay, and then secondly we often get questions about credit and sales any comments you can make about your own ability to finance the year off balance sheet financing and the ability of your customers in voyage to get credit as well, obviously results were fine but any commentary of what you see on the market?
Thomas C. Alsborg: I would just tell you in short that, that the quality of our credit our sales is still good, no issues there, we have good relationships long-term relationships with our banks and we have working capital facilities that are contractually agreed to and in place. So, we’ve very comfortable with our own liquidity and with regards to our customers and/or vendors for that matter I would say the same thing is true.
Richard Kugele - Needham & Company: Okay, thank you very much.
Robert T. Huang: I would add that you know for Rich, the expenses should -- the interest expenses should come down with the way it goes right now. So, I think its actually it’s a good for us from that point of view.
Richard Kugele - Needham & Company: Okay, alright, thank you very much.
Operator: (Operator Instructions). There are no further questions.
Laura Crowley: Okay, great thank you.
Thomas C. Alsborg: Thank you very much.
Laura Crowley: This concludes our first quarter earnings conference call, thank you for joining us today we will have a replay of this call available for the next two weeks beginning to today at approximately 5:00 pm Pacific Time through April 3, 2008. As always should you have any follow up questions, Tom and I are available to take your calls. Thank you and have a good day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference, this concludes the program. You may now disconnect.